Operator: Good morning, and welcome to Deere's First Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Mr. Tony Huegel, Director of Investor Relations. Thank you. Sir, you may begin. 
Tony Huegel: Thank you. Also on the call today are Jim Field, our Chief Financial Officer; Marie Ziegler, Vice President and Treasurer; and Susan Karlix, our Manager of Investor Communications. Today, we'll take a closer look at Deere's first quarter earnings, then spend some time talking about our markets and the outlook for the remainder of 2012. After that, we'll respond to your questions. Please note that the slides are available to complement the call this morning. They can be accessed on our website at www.johndeere.com.
 First, a reminder. This call is being broadcast live on the Internet and recorded for future transmission and use by Deere and Thomson Reuters. Any other use, recording or transmission of any portion of this copyrighted broadcast without the express written consent of Deere is strictly prohibited. Participants in the call, including the Q&A session, agree that their likeness and remarks in all media may be stored and used as part of the earnings call.
 This call includes forward-looking comments concerning the company's projections, plans and objectives for the future that are subject to important risks and uncertainties. Additional information concerning factors that could cause actual results to differ materially is contained in the company's most recent Form 8-K and periodic reports filed with the Securities and Exchange Commission. This call also may include financial measures that are not in conformance with accounting principles generally accepted in the United States of America, or GAAP. Additionally, information concerning these measures, including reconciliations to comparable GAAP measures, is included in the release and posted on our website at www.johndeere.com/financialreports under Other Financial Information.
 Now here's Susan. 
Susan Karlix: Thank you, Tony. With this morning's first quarter earnings announcement, John Deere has started 2012 on a strong note. Income and sales both reached new records for the first quarter of the year. It was our seventh straight quarterly record.
 The improvement was broad-based. Ag and turf had another strong quarter and our other divisions, construction and forestry and financial services, contributed as well. Healthy demand for farm machinery continued to play a big role in our results, but our performance also reflected success executing our ambitious marketing and operating plans. Such execution is especially important right now as we are adding new products and global capacity at unprecedented rates. Finally, our full year earnings forecast has been adjusted upwards and now stands at about $3.275 billion. All in all, it was a solid start to what is expected to be another strong year.
 You may have noticed the slide deck looks a little different this quarter. We have moved slides we felt were only number updates to the appendix to allow more time for your questions. 
 Now let's look at the first quarter in detail starting with Slide 3. Net sales and revenues were up 11% to $6.8 billion in the quarter. Net income attributable to Deere & Company was $533 million. As we noted earlier, this was the company's seventh consecutive quarterly earnings record. 
 Total worldwide equipment operations net sales were $6.1 billion, up 11% quarter-over-quarter, shown on Slide 4. Price realization in the quarter was positive by 4 points, while currency translation was a negative 1 point. 
 The company outlook is on Slide 5. Second quarter net sales are forecasted to be up about 15% compared with the second quarter of 2011. This includes about 4 points of positive price realization and about 3 points of negative currency translation. For the full year, net sales are expected to be up about 15% versus 2011. This includes about 3 points of negative currency translation, which is a negative swing in currency translation of 4 points from our previous forecast. So effectively, forecast volumes have increased by 4 points, all of which have been offset by exchange.
 In addition, we're expecting positive price realization of about 4 points. Remember, our price realization excludes any pricing related to Interim Tier 4, which is included in volumes. The full year impact on operating profit from currency translation is negative, about $80 million. Net income attributable to Deere & Company is now projected at $3.275 billion in 2012. 
 Turning to a review of our individual businesses. Let's start with ag and turf on Slide 6. Sales were up 8% in the quarter. Production tonnage was up 5%. Operating profit was $574 million, resulting in an impressive 12% operating margin, the second highest margin for the ag and turf division in any first quarter. Price realization and higher shipment volumes benefited results, but were partially offset by increased production costs related to new products and to emission requirements and higher raw material costs. 
 Taking a look at ag and turf incremental margin, it came in at 5%. As we discussed on the call in November, first quarter incremental margins would be a challenge due to the timing of expenses and a very tough comparison to the first quarter of 2011. Importantly, pricing offset material costs in the quarter, including Interim Tier 4 product costs. As the press release states, the improved operating profit for ag and turf was partially offset by increased production costs related to new products and engine emission requirements. Those costs in the quarter were roughly $100 million. 
 The additional expense was associated with a significant number of start-ups, which resulted in higher capital spend; factory costs; and overhead expenses. Included were costs of installing new equipment, training new workers and starting preproduction processes. Coupled with strong demand in the quarter, we experienced some inefficiencies in our factories. All that said, we met customer demand and delivered a 12% operating margin, signifying very strong execution. The forecast calls for double-digit incremental margins the remainder of the year. 
 Before we review the industry sales outlook, let's look at some of the fundamentals affecting the ag business. Slide 7 outlines the U.S. commodity price estimates that underlie our financial forecast. As you can see, U.S. crop prices are forecasted to remain strong in the 2011-2012 crop year, driven by strong global demand and tight supply. The assumption for more normal, higher yields next year accounts for the drop in crop prices in 2012-2013. 
 Slide 8 highlights cash receipts. 2011 U.S. farm cash receipts were at record levels, 16% higher than the previous record in 2008. The 2012 cash receipts number is down slightly from 2011's record level but are still extremely strong. In our modeling, current year and prior year cash receipts are the primary driver of equipment purchases. This bodes well for the ag business and is translating into increased demand, as illustrated by our strong outlook. 
 Our base case on acres planted and yields for the 2012-2013 crop year is shown on Slide 9. Driven by strong global demand and low carryover stocks, our base case calls for an increase in total planted acres this crop year. The increase in corn acres reflects a shift from cotton. Assuming moisture levels recover in the Wheat Belt, acreage will increase slightly. And as a result of the extreme drought in West Texas, we expect cotton acres planted to decrease in the 2012-13 crop year. Keep in mind that forecasts involving acreage and yield are very preliminary at this point and will be ultimately determined by weather and springtime prices. 
 Our economic outlook for the EU 27 is on Slide 10. We see the European ag sector strengthening with 2012 farm income expected to remain at very attractive levels, supported by commodity prices. Equipment demand continues strong with the favorable outlook for large farm markets in Northern Europe offsetting weakness in the south.
 On Slide 11, you'll see the economic fundamentals outlined for a few additional targeted growth markets.
 Slide 12 tells the weather-related story for Argentina and Southern Brazil, which serves as the basis for our outlook change in the region and a slight change from the farm net income slides you are used to seeing. Drought conditions in Central Argentina and Southern Brazil have lowered production and yields, while heavy rain in Central Brazil has slowed the soybean harvest and the planting of the second season cotton crop. 
 Our 2012 ag and turf industry outlooks are summarized on Slide 13. With strong farm fundamentals in the U.S. and Canada, demand continues to increase, especially for high horsepower equipment. We have increased our forecast for the region to up about 10%. The EU 27 industry outlook has been increased and is now projected to be flat to up 5% from the attractive levels of 2011. The improvement is due to favorable conditions in the grain, livestock and dairy sectors, which are outweighing general economic concerns in Southern Europe. Our 2012 industry outlook in the CIS countries is for considerably higher growth after last year's notable rise. 
 Moving to Asia. We expect sales to increase moderately. The tweaking in our forecast is the result of the tractor industry in India. After 2 years of strong double-digit growth, the 2012 forecast for tractors is flat this year. Higher interest rates and moderating commodity prices are also dampening growth. We view this as only a pause in India, as government support for agriculture and farm mechanizations are both on the rise.
 Industry sales of tractors and combines in South America are now expected to be flat to down 5% in relation to the strong levels of 2011 due to drought in parts of the region. Remember, the industry outlook for South America does not include cotton and sugarcane harvesting equipment, both categories in which Deere has a strong market presence. The ag sector in Brazil continues to receive governmental support, stimulating investments in ag equipment.
 Turning to another product category. We expect industry retail sales of turf and utility equipment in the U.S. and Canada to be up slightly in 2012. 
 Putting this all together on Slide 14. The fiscal year 2012 forecast is for Deere sales of worldwide ag and turf equipment to be up about 15%. Currency translation is negative by about 3 points, which is a 4 point negative change from our forecast in November. So effectively, forecast volumes had increased by 4 points. Operating margin for the division is forecasted at about 15%, which would be a record, and that's despite the headwinds we discussed earlier. This certainly illustrates solid execution on our part. 
 We'll update you on our early order program. The combine early order program ended in the middle of January with about 95% of the production slots covered. Concerning used combined levels, you may recall we made good progress in reducing the number of used units at year end, and we made still more progress in the first quarter. January ended with used combines well below year-earlier levels with values rising. In response, we added additional combine production to the schedule. This clearly demonstrates our confidence that we have effectively managed through this situation.
 The cotton early order program is full. Remaining early order programs for air seedings, sprayers, planters, drills, tillage, windrowers and self-propelled forage harvesters have gone exceptionally well. Aggregate orders for these programs are up about 30% over last year. The order book for large tractors is also strong, with effective availability of August 2012 for the 8R model and June 2012 for the 4-wheel-drive 9R. All this supports our outlook for very good market conditions. 
 Let's focus now on construction and forestry on Slide 15. Deere's net sales were up 22% in the quarter, while production tonnage was up 26%. Division operating profit rose 41% to $124 million, helped by higher shipment volumes and improved price realization, partially offset by increased raw material costs. C&F recorded a 9% operating margin and a 14% incremental margin. 
 On Slide 16, let's look at the economic indicators on the bottom part of this slide. While stable or increased from last quarter, the underlying fundamentals certainly don't point to strong recovery. Overall, economic growth continues at a slow pace, although there are promising signs that things are picking up. C&F continues to benefit from replacement demand for very aged fleets and improved sales to independent rental companies as they record higher utilization levels and rental rates. We also see strength in the energy and material handling sectors, the latter pertaining mostly to skid steers and loaders. Also encouraging, Deere dealers continue to see an improvement in rental utilization and used equipment markets. 
 Net sales in construction and forestry are now forecast to be up about 18% in fiscal 2012 with negative currency translation of about 1 point. Global forestry markets are expected to be flat to up 5% in 2012 from the strong levels of a year ago. We are seeing growth in all our markets except Europe, where the market remains healthy but restrained by economic concerns. The full year operating margin for the C&F division is projected to be about 8%. 
 Let's move now to our financial services operations. Slide 17 shows the financial services provision for credit losses as a percent of the total average owned portfolio. Year-to-date on an annualized basis, the provision is an incredibly low 2 basis points. This reflects lower write-offs, primarily in the ag and construction and forestry portfolios, as well as recoveries of prior year write-offs and fewer repossessions. Our 2012 financial forecast contemplates the provision for credit losses increasing toward a more normal level to about 24 basis points as a percentage of the average owned portfolio. For your reference, the 10-year average is about 34 basis points. 
 Moving to Slide 18. Worldwide financial services net income attributable to Deere & Company was $119 million in the quarter versus $118 million in 2011. Net income benefited from growth in the credit portfolio, revenue from wind energy credits and a lower provision for credit losses. These items were largely offset by higher crop insurance claims and increased selling, administrative and general expenses. The wind energy credits relate to the wind energy business we sold in 2010. 
 Looking ahead, we are now projecting worldwide financial services net income attributable to Deere & Company of about $460 million in 2012. The decrease from 2011, when income was $471 million, is mainly attributable to 2 things. First, the provision for credit losses rising toward more normal levels, about 24 basis points for the year. Last year's loss provision was only 4 basis points, well below average levels. Second, the forecast also includes higher selling, administrative and general expenses in support of the equipment operations' global growth. For example, financial services has recently added or soon will be adding locations in China, Russia, Chile, India and Thailand. Growth in the portfolio will partially offset these 2 items. 
 Now on Slide 19, let's look at receivables and inventories. For the company as a whole, receivables and inventories ended the first quarter up about $1.6 billion compared to the first quarter of 2011, equal to 30% of trailing 12-month sales. The same percentage of trailing 12-month sales was achieved in the first quarter of 2011. Historically for the first quarter, we run between 28% and 30%. The higher first quarter inventory levels are necessary to meet the strong demand ahead of us this year. For the full year, receivables and inventories are expected to be about $150 million higher versus 2011. 
 Let's turn now to raw materials and logistics on Slide 20. First quarter material costs were up about $130 million in comparison with the first quarter of 2011. Our 2012 full year forecast now assumes an increase of around $400 million to $500 million versus 2011 as we are seeing lower steel prices run through our cost. About 80% of the increase is for ag and turf and about 20% for C&F. As we have shared in the past, increases or decreases in Deere's raw material costs tend to lag by 3 to 6 months, depending on the commodity or type of contract. Our forecast calls for about 2/3 of the increase in raw material cost to occur in the first half of the year.
 Finally, as we introduce new products and features to our growing customer base, the product costs of compliance with engine emission regulations in North America and Europe will be roughly $500 million higher than 2011. However, the forecast 4 points of price realization will offset the combination of increased material cost and Interim Tier 4 product cost. 
 Looking at R&D expense on Slide 21. R&D was up 16% in the first quarter compared to the same period last year. Our 2012 forecast calls for R&D expense to be up about 12%. Currency translation is negative by about 2 points. As stated in previous quarters, R&D spending is expected to remain at high levels for the next few years as we continue product launches with Interim Tier 4 engines, and soon thereafter meet final Tier 4 emission standards. Also included is ongoing new product development expense for our growing global customer base. 
 Moving to Slide 22. SA&G expense for the equipment operations was up 7% in the first quarter. Growth accounted for almost all of the increase. Our fiscal year 2012 forecast calls for SA&G expense to be up about 10%, with growth accounting for about 4 points and currency translation, a negative 2 points. 
 Turning to Slide 23. We detail our use of cash priorities. Deere's worldwide financial services operation provides a strategic advantage in funding customer purchases, but only so long as we can access the credit markets on a cost-effective basis. One of the key elements to this end is maintaining an A rating, which is our top priority. Rating agencies expect 12 months of debt maturities to be covered by cash and/or untapped credit facilities. This also implies appropriately funding our pension and OPEB benefits, which we have done proactively and prudently over the years.
 Our second use of cash priority is funding value-creating investments in our operations. As an example mentioned in the press release, over the last year, we announced plans for 7 new factories as well as expansions at existing factories.
 Our third priority is to provide for the common stock dividend. Over time, we want to consistently deliver a series of moderately increased dividends while targeting a 25% to 35% payout ratio on average. We are mindful of the importance of maintaining the dividend and plus not growing it beyond the point that it can be comfortably sustained by cash flow.
 Share repurchase is our method of deploying excess cash once the previous requirements have been met and so long as such repurchase is viewed as value-enhancing.
 And on Slide 24, you see our equipment operations' history of strong cash flow. Following years of impressive cash flow performance, we are forecasting cash flow from equipment operations to reach about $3.5 billion in 2012. 
 In closing, the company started out 2012 on a strongly positive note and is looking for further improvements in the quarters ahead. Our recent performance and our positive outlook for the year is strong momentum to the company's plans for achieving increased growth and profitability in the future. What's more, our substantial investment in new products and additional capacity puts Deere on a sound footing to respond to any further improvements that may occur in key markets now in the early stages of recovery. 
 These investments, as you see summarized on Slide 25, include the 7 new factories referenced in the press release in emerging markets crucial to our growth, as well as significant expansions and modernizations now underway in the United States. The added capacity will help the company capitalize on the world's increasing need for food, shelter and infrastructure and for the productive equipment needed to help produce it. These powerful trends, in our view, have staying power and they represent nothing less than an exceptional opportunity for John Deere and its investors in the quarters and years to come. Tony? 
Tony Huegel: Thank you, Susan. Now we're ready to begin the Q&A portion of the call. The operator will instruct you on the polling procedure. [Operator Instructions] Operator? 
Operator: [Operator Instructions] Our first question comes from Andrew Obin. 
Andrew Obin: Bank of America Merrill Lynch. Just a question on your outlook. You guys guided first to a down Q1 versus last year. It also seems that production was a little bit lower in the Q1 than we were thinking, so more of it is being pushed back into the second half. And then you also guided to lower costs. Yet as I look at the increase, it sort of barely covers the beat and lower costs that you guided to. So why would incremental production in your outlook not result in more earnings? 
James Field: Well, Andrew, this is Jim. I think one of the key pieces in that whole equation is this $80 million, or in round numbers, about $100 million of headwinds that we're facing on the currency side from a translation perspective. If you -- I think if you look at the increase in physical volume that we've added, after you strip out the FX and you put normalized incremental margin assumptions on that and consider the other headwinds we've talked about and then consider also this, in round numbers, $100 million of translation headwind, it gets -- it seems to be a pretty reasonable outcome where we ended up. 
Andrew Obin: And a follow-up question on construction and forestry. If we go back in the prior cycles, construction and forestry was a much bigger percentage of your revenue and profit as well. Given sort of the ongoing mix change in the company, do you think in several years, construction and forestry can go back to its historic percent of revenue and profitability would be similar to what we saw in the middle of the past decade? Or has the mix changed sufficiently that we should just think about the company being different? 
James Field: This is Jim again, Andrew. Absolutely it can, and the expectations is that it would. And as you've rightfully pointed out, when you look at the last construction cycle, construction recorded the highest operating margin of any of our divisions. And they would be shooting for operating margins that are very consistent with that going forward. 
Operator: Our next question comes from Andy Kaplowitz. 
Andy Kaplowitz: It's Barclays Capital. Maybe I could follow up on Andrew's question about construction in one sense, and that is, I mean, you had almost 9% margins in the quarter in what usually is a seasonally weak 1Q, and you didn't change the guidance for the year. So I guess, I'm just trying to figure out why that is. And the incremental margins were also quite good versus what we thought. So any help you can give us as to -- maybe there's a little upside in your guidance now for the year. 
Marie Ziegler: This is Marie, Andy. As you think about construction, they will have a phase-in of the iT4-compliant machines over the course of the year. And so you will see the cost of product transitions and the product cost reflected in their cost as we move through 2012. And that's the difference. 
Andy Kaplowitz: Okay, Marie, that's helpful. So just shifting back to ag. You mentioned inefficiencies in the factory in the first quarter. And production was a lot less than you guided. So I'm just wondering how that improves over time. Why did -- 1Q production, why did it look weaker than you guys had expected it to be? 
Tony Huegel: Right. Well, keep in mind, the inefficiencies in the quarter that we talked about with Interim Tier -- again, going back to Interim Tier 4 transition, certainly our combines we're transitioning as well as large tractors, our 9000 Series tractors, we're transitioning during that first quarter. So that's part of what's driving some of those inefficiencies. 
Marie Ziegler: In terms of the tonnage change, that's merely just shifts in a variety of products, a little bit less than the first quarter and a little bit more as you move through the year. And that's pretty typical for us. The tonnage numbers, as many of you are aware, are not terribly precise. 
Andy Kaplowitz: So Marie, it's really just timing, you're saying. 
Marie Ziegler: Yes, absolutely because we took our full tonnage up for the year. 
Operator: Our next question comes from Jamie Cook. 
Jamie Cook: Crédit Suisse. Two questions. One, just back to the Tier 4. I just want to make sure I understood you correctly, and it relates to Andy's question in construction. Is Tier 4 now $500 million but you said you'll cover all of it, relative to before you said $475 million and you'd cover a good portion? So I'm just trying to make sure I understand that relative to the comments you made about Andy's -- the margin impact on the C&F business. And then I guess, my other question is you talked about -- just on the combine issue, it sounds like you're taking production up. Is that all happening in the fourth quarter? And how should we think about combine production relative to retail in 2012 now? 
Tony Huegel: Sure. On the first question, Interim Tier 4 costs, as we look -- you're right. We did bump that up a little bit to about $500 million for the year. And as you look at the 4 points of price realization, what we've said is that will more than cover the Interim Tier 4 as well as the material price increases that we're anticipating for the year. 
Jamie Cook: But is that better than what you said last quarter? I didn't think last quarter you were covering it all, so that's a disconnect. I'm trying to -- -- unless I misinterpreted... 
Marie Ziegler: It's a little bit of a change but not much. 
Jamie Cook: And so it is better? 
Marie Ziegler: It's a little better, yes. 
Jamie Cook: Okay. So just with Andy's comments on why then it's going to -- if you're more than covering it, why is it going to hurt your C&F margins? 
Marie Ziegler: We are in production yet on a lot of the construction equipment. That has a phase-in over the course of the year, Jamie. So you're not seeing some of the Tier 4 product cost yet in the first quarter at the same level that you will in subsequent quarters, just simply because we're launching products over the course of the year. 
Jamie Cook: Okay. And then just the last on the combines. Just if you're taking the production up in the fourth quarter and where we're going to produce relative to retail in 2012. 
Marie Ziegler: Jamie, we don't have specific fourth quarter public guidance, but it is true that we added combines. And I think you could say that some of those combines certainly would have been added in the latter half of the year. 
James Field: This is Jim. I think relative to the combine issue, which was yesterday's headline, I think, though, the important thing is that we've reached closure on this issue. We've got the channel where we think it needs to be in terms of used goods, and I think it also shows the type of actions that we will take as a company to make sure that this is a long-term sustainable business. So I think that's the important thing as you look at the combines situation. 
Operator: Our next question comes from Henry Kirn. 
Henry Kirn: It's UBS. I'm wondering if you could chat a little bit about where you think we are versus normalized demand in South America and Europe. 
Tony Huegel: Well, certainly in Europe from a normal or mid-cycle, while we're continuing to look at kind of a flat to up 5%, we would still be below mid-cycle levels within the company in Europe. 
Marie Ziegler: And in South America, as we look to South America, we see a very exciting opportunity as that market continues to grow and as we -- and as Deere individually continues to broaden its market coverage with product and with distribution. 
James Field: And I think as you look at Europe, I mean, an important point there is, as was said by Tony, we are below mid-cycle. We have seen some strength in that market. As a matter of fact, if you look at tractors, the order book is up 12%; combines, 25%; self-propelled forage harvesters, 17%. And that's all happening in a market where there's still, in our view, a significant amount of headroom vis-à-vis mid-cycle. 
Henry Kirn: And dovetailing with that, can you update your thoughts on the steps you're taking to improve the market share in both those regions? 
Marie Ziegler: He's asking about market share. We could not hear you, Henry, but I believe your question was what steps have we taken to improve market share in both those regions. Is that... 
Henry Kirn: Yes, that's right. Update the thoughts on the steps you're taking to do that. 
Marie Ziegler: When we -- when you were in Lisbon in the summer, you saw the over 100 new products that have been introduced in Europe to broaden the market coverage in that market. We're continuing to add and strengthen our dealer capabilities. We've added parts capabilities throughout really Europe and far into the CIS. And really, the same is true in Brazil and South America, where we continue to add, again, additional dealer locations. And we've had a very significant broadening of the product line, and that's already been reflected if you look at market shares. 
Tony Huegel: Right. And Marie mentioned the distribution network. And in addition to the product, certainly we've talked a lot about continuing to strengthen our distribution network in Brazil. We would say our distribution actually is very strong. And I think you've seen that reflected in the market share gains. As we brought that new product, we've seen those market share gains. And that's reflective of both sides of that equation, and we'll continue to work on those same concepts in Europe as we move forward. 
Operator: Our next question comes from Rob Wertheimer. 
Robert Wertheimer: It's Vertical Research Partners. Just wanted to circle back to inventory. I mean, you talked about inventory receivables. But if you look at inventory on a standalone, it looks to me like your turns were the worst in kind of 15 years, either forward-looking on sales or backward-looking. And I just wanted to make sure you're not having any production hiccups with Tier 4. Anything else that would explain that? Or maybe I've got the arithmetic wrong. 
Marie Ziegler: There is absolutely no production hiccups with Interim Tier 4. It has gone very smoothly. But that said, year-over-year, Rob, we have a very different look in the first -- where we ended the first quarter in terms of our production. So it is somewhat difficult to make a comparison because last year, you were in very high production. In the first 2 months of the quarter this year, relatively low levels of production because of the significant turnover that we had in our production on combines and on large tractors. 
James Field: So a great example of that, Rob, is if you looked at the Harvester Works. Last year, the schedule was very heavy in the first quarter, which would have drawn down a lot of that inventory. This year, we're facing a schedule that's accelerating as you went into the quarter, which means you're building the inventories. And so obviously, when you look at the end point, you get a different equation. But I would definitely underscore what Marie is saying. As a matter of fact, we're not having any production difficulties. And as a matter of fact, we're very, very proud of what we've been able to accomplish with this major number of new products coming off the line and the efficiency levels of which we completed them with. 
Robert Wertheimer: Okay. I mean, you guys have been great on inventory for a long, long time. It just seemed like an outlier, even relative to the sales ramp. But I hear you. Just one quick follow-up, if I may. Do you have -- I know you don't disclose this quarterly or anything, but the construction mix in geography, it looks like the volumes are back, at least on a quarterly basis, above peak. I know you've gained share and I know you're expanding geographically. I just don't quite know how to think about which of those is, yes, is predominant. 
Marie Ziegler: We are still -- we are not even back to mid-cycle volumes in that division. 
Robert Wertheimer: In the U.S. Okay. 
Marie Ziegler: The forestry business, which is 20% to 25% of the business, as we have said, has been stronger and is taking a little bit of a pot. But the construction business, which the bulk of it is still in the U.S., that's been very weak. It's been recovering from an extremely low level, but they are nowhere near mid-cycle. 
Robert Wertheimer: Okay. It's just a 1Q number, but I get it. 
Operator: Our next question from Andy Casey. 
Andrew Casey: Wells Fargo Securities. Question on the cadence of the outlook for the remaining 3 quarters in ag and turf incremental margin. You're looking for roughly 21% with the numbers that you gave. Is that more back half-loaded than what we'd normally see in Q2? 
Tony Huegel: No, I think you'll see -- I mean, again, our seasonal shipping in ag and turf is returning to a much more traditional pattern this year versus what we would have seen last year. 
Andrew Casey: Okay. And then on construction and forestry. I think in the last call, some of the muted margin expectations were talked about as being caused by production ramp-up. And I'm wondering if you're seeing an impact from the production capacity expansion in international markets this year or if that's more a '13 event. 
Tony Huegel: Yes, most of that is going to be 2013 event when we look outside of the U.S. and Canada. Of course, we have talked about the factory in India is producing. But it's on relatively low levels at this point, but -- and will ramp up as we go through the year. But again, most of that is a 2013 event. 
James Field: From a production standpoint. No, obviously, we're incurring costs related to that geographic expansion, which are in fact being reflected in the '12 numbers, and as I would say, vis-à-vis steady state has suppressed them somewhat. 
Operator: Our next question is from Stephen Volkmann. 
Stephen Volkmann: It's Jefferies & Company. Actually, I sort of -- I guess, maybe you just answered this, but I was thinking also about all the [indiscernible] that are coming online and some of the costs that are going to be ramping up before you get revenues and so forth. And I guess, I'm wondering, is the margin headwind from that bigger in '13 than it is in '12? And then does it sort of ramp down in '14? Am I thinking about that the right way sort of medium-term? 
James Field: Well, we, of course, aren't going to get into giving a whole lot of guidance. And as it relates to '13, clearly, we have some of the iT4 cost behind us as you look out at '13. But on the other hand, we'll have still the development cost going forward. But our expectation, of course, would be as you bring these factories online, you're going to start generating revenues to cover some of these expenses. And of course, there are some expenses that are initial start-up expenses that do go away. But the aggregate picture of how that all fits together, I mean, I have to be perfectly honest with you. We don't have a good view of that today that we're willing to share. 
Stephen Volkmann: Okay, fair enough. I'll ask it again in a couple of quarters maybe. How about -- and maybe a little -- just a little bit of a follow-up in Europe. I'm kind of stuck by -- thank you, Jim, for the color on the order book in Europe. And clearly, we've seen some strong retail numbers over there recently for the past few months, and your order book looks pretty good. So sort of the flat forecast there, I guess, I'm wondering, are you hearing something from the marketing folks that just makes you nervous about the second half, perhaps? Or is it more just we're not sure what's happening and we want to be conservative? 
Tony Huegel: Well, first of all, the outlook is flat to up 5%. 
James Field: Which has increased from the prior outlook. 
Tony Huegel: And with that, keep in mind, and what Jim was talking to, is our order book. And as we mentioned earlier in the call, of course, with the new products and our drive there in Europe for market share, I think that's just reflecting some of those expectations in terms of our performance versus the overall market. 
Stephen Volkmann: So you're not calling for a deceleration over there. 
James Field: No, no, not at all. As a matter of fact, if you look around in the world, I mean, basically we've got all the markets accelerating, sans South America. And so -- and Europe is the same way. 
Operator: Our next question comes from Robert McCarthy. 
Robert McCarthy: It's Robert W. Baird. I wanted to ask about your forecasting for the U.S. and Canada ag market in the context of the discussion about crop receipts, et cetera, and a reversion to more normal yields. But of course, we have an ongoing precipitation issue, particularly in the Upper Midwest but also in Southern Plains. You referred to West Texas cotton. What explicit -- how do you factor that into your forecast? Do you just accept that you can't be a weather forecaster, and so by default at this point in the year, you're going to assume normal yields? Or have you baked something specific into your forecast that could accommodate some pressure on yields because of the low moisture condition that we're looking at? 
Marie Ziegler: Rob, at this point, the only weather impact that we have put in the forecast is the shift down in some cotton acreage, and a little bit of increase in corn as a result because of the drought situation that we have talked about in Texas. But at this time of the year, our practice has been to go with the trend yield because there's a lot of variables yet in the weather that can affect that. So you're really looking at what we would consider to be trend yields. 
Robert McCarthy: Okay. And I just wanted to make sure that I understood. And just a point of clarification. The answer may be obvious, but as I look at your Slide 13 that details your ag and turf industry outlook by region, the first 5 of the 6 bullet points are the core agricultural business. Would it be fair to say that in your plan, you expect to outperform these industry growth numbers in each of those 5 regions? 
Marie Ziegler: Absolutely. 
Operator: Our next question comes from Jerry Revich. 
Jerry Revich: It's Goldman Sachs. Can you say more about the factors that drove 16% lower production than you expected outside U.S. and Canada this quarter? And I'm looking at Slide 27. 
Marie Ziegler: Slide 27, production tonnage... 
James Field: Yes. Well, the first thing, of course, it's 16% on a seasonally weak quarter for our European operations. And the other issue is we had some production shift that's reflected in the overall tonnage that we moved into the second quarter that's affecting some of that as well. But beyond that, Marie... 
Marie Ziegler: There would be a little bit of impact probably from combines out of South America. I think that's well documented. But if you look at the full year forecast for outside U.S. and Canada, it's actually up a little bit. 
Jerry Revich: And did you mention some of that is because of production shift in Europe? Can you say more about that point into the second quarter? 
James Field: It was just that as we got into the schedule for the European operations, there were some units that were moved from late in the quarter to the following month. 
Tony Huegel: So it's just minor -- so it's really minor timing changes within the production. 
Jerry Revich: Okay. And your sales guidance in C&F implies a slower production increase in coming quarters and typical seasonality. Is that just room for upside? Or any specific drivers that you're looking at? 
Marie Ziegler: Again, that reflects iT4 conversions. And remember, you have to shut the line down, then you convert, and then you restart. So you've got some ramp-up through there. 
Tony Huegel: And keep in mind, as compared to last year, in the first and second quarter, we had some increased production as we were moving to the SAP conversion that was right at the end of our second quarter. And so it's really as much a 2011 shift in production as 2012. 
Operator: Our next question comes from Joel Tiss. 
Joel Tiss: Buckingham Research. So I just wondered if you can give us a sense of what's happening to the farmers' break-even costs on corn and on beans. And I'm just trying to gauge how much of an impact a potential drop in crop prices in 2013 might have on volumes. 
Tony Huegel: Sure. And actually, one thing I would cite is if you look at -- there was a University of Illinois study that was done last fall that kind of looked at expected crop price, our input costs and so on, and it was -- they looked at a 1,200-acre farm and the metric they used is in terms of not so much breakeven but making decent money. So at $50,000 net farm income, corn -- the pricing they had on corn was about $3.70 and soybeans would be about $8.50. And that's very consistent with what we would get from Informa Economics, who is our outside consultant. They would say corn in the $3.50 to $3.70 range, farmers still make good money. And soybeans in the $7.50 to $8 range. 
James Field: So lots of headroom vis-à-vis where prices are today. 
Joel Tiss: Right. Okay, good. And then is there any number you can share with us on the earnings impact from the lower provision for credit losses in the quarter? Is that material? 
Tony Huegel: Yes. I mean, it was in the $4 million range. 
Operator: Our next question comes from Ashish Gupta. 
Ashish Gupta: Credit Agricole Securities. If we just step back for a second and focus on the long-term, you have 7 new factories and are increasing production capacity at existing facilities. Can you just kind of give us an idea of what you're most excited about in terms of incremental contributions over a multiple-year period? 
James Field: Well, we're excited about several different aspects of it. What we've said is near-term, one of our largest growth opportunities would be kind of Europe, from an SVA perspective. South America, we believe, has plenty of headroom. And we're seeing really pretty good activity starting to be restored in the CIS regions today. And the CIS is all about large ag for us, just in many respects very, very similar to the Upper Midwest. And generally, it's margins that are very, very consistent with the types of margins that we see in the large ag space in North America, so -- and then, we've, of course, announced these factories in Asia. These are large unit volume markets. I think you're looking at something north of 500,000 industry volume in India this year, but of course, a much, much lower ticket per unit. So there's 6 geographies we're focused on around the world, and each of them holds some very interesting and promising opportunities for us. 
Ashish Gupta: Great. And then just a follow-up on the balance sheet quickly. I'm just trying to think about how much incremental cash you guys will have this year to buy back stock. Can you kind of review your balance sheet management and your debt maturity schedule versus your liquidity for 2012? 
Marie Ziegler: Well, our cash flow that we expect to generate from operations is about $3.5 billion. We've talked about the fact that we do have some large debt maturities. That's in one of the schedules in the appendix. Our cash management, we will be positioning ourselves with some amount of cash to make sure that we have a fairly smooth transition as we have to repay those. We've got a very large maturity in the second, and then another one in the third quarter. And quite candidly, we have been doing some pre-funding. You see that reflected in our cash balances, so -- but I mean, we expect to manage very comfortably through it. And I have already demonstrated, by virtue of the amount of cash that we have on, that we will have a smooth transition. 
Operator: Our next question is from Seth Weber. 
Seth Weber: It's RBC. Sorry if I missed this, but the $100 million of additional cost that you've absorbed in the quarter for start-up and overhead, I mean, did you -- can we talk about how that's going to trend through the year? Do expect that to trend down quarterly as we go through the year? Or is that kind of a steady state for the next couple of quarters? 
James Field: Well, right now, the way we see it is that, that would be a heavier headwind in the first half of the year than in the second half of the year. So yes, it does trend down in the second half of the year. 
Seth Weber: Okay, great. And then just to follow up on Latin America. I mean, you guys have done really a nice job taking share there. Have you noticed any kind of competitive response with respect to pricing? Has pricing gotten more aggressive across the industry? Or can you comment on any of that? 
James Field: I would -- it's not our practice really to get into talking too much about what's going on with the competition. But I would tell you that we had positive price realization in South America last year. We're forecasting positive price realization in South America this year. And so -- and we had it in the first quarter. So obviously, there's a lot of competitive dynamics around the globe. But for us, it's about getting market share and getting it in a sustainable way. And if it's through price, it's not sustainable. So I think the fact that we've gotten this price realization is good evidence that we're doing it the John Deere way and the right way and the sustainable way. 
Operator: Our next question is from David Raso. 
David Raso: ISI. Really just one quick question. The costs you said in the first quarter for ag and turf, if I add those back, it implies an incremental margin of 33% and an operating margin at 14.3%. That 33% incremental would be the strongest incremental in a couple of years. So I'm just trying to get a feel for how you look at the underlying profitability of ag and turf. If I look at the full year guidance, you're roughly implying still the same idea of about a 15% ag and turf margin, maybe a tad higher. I'm just trying to get to the underlying business when these costs recede. Should I -- I'm just trying to get my arms around, x those costs, you had a core incremental margin of 33% for the quarter. It just doesn't seem that logical, given a tough comp against the combine production a year ago. 
Tony Huegel: Well, I think, for starters, it certainly -- as we talked about with -- the combines were lower in the quarter, but we did have some strength last year. Our large tractor, the 8000 Series tractor, was lower than normal as we went through conversion in January of last year. And there are other products that have very strong margins as well that we're seeing some strength in this year. 
James Field: But I think if you think about this from a macro perspective, David, I think you are thinking about it more right than wrong. What we've got here is a situation where we're investing a lot around the globe for the future growth of this company. We have these headwinds caused by regulatory requirements. And despite all of that, we're putting up first quarter operating margins on an absolute basis, forget about the incrementals, that are about as good as we've ever had. And so I think we are accomplishing what we wanted to accomplish, which was invest in the growth, invest in what we need to do to bring out a superb iT4 product and maintain very healthy levels of margins. And we've done that, so... 
Operator: Our final question comes from Ann Duignan. 
Ann Duignan: JPMorgan. One of the questions we get a lot from investors is just Deere's mix going forward. As you invest in the rest of the world and the North America high horsepower and combine market maybe matures, the mix going forward may be a negative. Could you just talk about what your expectations are for the mix of product, maybe the mix of margin? I know you won't get into margin in any way detailed. But any color you could give us in terms of what your expectations are from a mix perspective as you expand globally. 
Tony Huegel: Right. Well, I think I'd start -- first of all, as part of that global expansion, we also -- and then our aspirations, we talk about an aspiration of growing our operating margins from roughly 10% at mid-cycle to 12%. So I think that's reflective of our expectation that mix aside, that we'll continue to improve our operating margins as we move forward. And again, as you look at mix, I think you can also look at, yes, we have growth in some regions where you might be more heavily weighted towards smaller ag. But we also have some good growth opportunities in places like Russia and the CIS, which will have certainly a significant large ag mix, not to mention South America and our growth opportunities there. 
Ann Duignan: And just as a follow-up on your outlook for Asia. Asia is very large region. And within it, we have China and we also have Australia and New Zealand. Can you talk about the fundamentals in both of those regions, one versus the other? 
Tony Huegel: In terms of Australia versus in Asia? 
Ann Duignan: Australia/New Zealand versus China. When you give guidance, you just give Asia, which incorporates both. 
Tony Huegel: Right. Well, primarily -- our Asia guidance is primarily being driven by India and China. And so -- and we talked about on the opening comments that India in the tractor industry this coming year, we're looking at about relatively flat tractor industry after 2 very strong growth years and still at very, very high levels. And then certainly, China continues to see some nice growth. In both cases, government is very supportive of the growth of agriculture. So with that, we thank you for call. 
Marie Ziegler: And maybe I'll just summarize quickly. Thank you for joining us today as we talked about an excellent first quarter, excellent prospects for the remainder of the year. And certainly, we've had the opportunity to talk about some of the things we're doing to position ourselves to take advantage of the very exciting tailwinds we have globally. Susan, Tony, I and Christian [ph] will be available for your questions as we move through the day. Thank you. 
Operator: Thank you. That does conclude today's conference call. We do thank you for your participation, and you may now disconnect your lines.